James Peter Wroath: Okay. Good morning, everybody, and thank you for coming. Welcome to the presentation of Keller's 2025 Full Year Results. For those of you who don't know, I'm James Wroath, and I was appointed Chief Executive last August. Moving to the cautionary statements, which is a slide that I'm sure you're all very familiar with. Our agenda this morning, I'm going to take you through a brief snapshot of our results before handing over to David Burke, our CFO, who will take you through the financials in more detail. I'm then going to return to give you my initial reflections after 6 months in the business, followed by a summary and an outlook. And then finally, we'll finish with a Q&A. So let's have a look at this results -- the results summary. The group has delivered an outstanding set of record financial results for 2025. This reflects operational and commercial improvements that are embedded across the business. Importantly, this has also been achieved despite a mixed market backdrop and a translational FX headwind. I'm going to expand later upon the strength I believe Keller has in its business model, but geographic diversity, sector agility and resilience are definitely at the heart of the company's success. Keller North America outperformed the wider U.S. construction market, growing revenues by 5% versus a 2% decline in the market. As expected, profitability in this division was lower versus an exceptional 2024, but nevertheless, this is a resilient result, particularly considering the softness of the U.S. residential market. Again, as forecast, EME continues its outstanding turnaround. This was driven mainly by improvement in the performance of a previously challenging project in the Middle East in 2024 but was also supported by strong operational improvement across the businesses in Europe. I'd just like to turn to the Middle East for a moment and acknowledge the current conflict within the region. Our priority, of course, remains the safety of our colleagues and their families, and we're in regular dialogue with our teams in the region. All our people are accounted for and are safe. Just to put the Middle East into context for the business, it's less than 5% in terms of our revenue and profit contribution within the group. Finally, then moving to APAC. APAC has sustained its recent improvements with more revenue and profit growth, thanks to Austral and India in particular. The result of all this is an even stronger balance sheet with robust free cash flow generation, accelerating leverage reduction to a net cash position for the first time in 25 years. These consistent returns lead us to be able to increase the dividend by 41.6% in 2025, continuing our track record of maintaining or growing the dividend since IPO. We're also able to supplement this return via the multiyear share buyback program launched last year. In 2025, we announced 2 tranches of GBP 25 million. And today, we've announced a further GBP 100 million. I'm now going to hand over to David for a more comprehensive overview of our financial performance. David?
David Burke: Thank you, James, and good morning, everybody. What can I say, another record year despite the market backdrop and the currency headwinds. In the financial results section, the key highlights that I'll bring out are the power of the portfolio, North America down as expected for market reasons, with Europe and Middle East and APAC more than making up for that. Another year of strong free cash flow generation. We are now net cash even after share buybacks. So I'll give guidance following our review of capital allocation. Okay. Let's start with the P&L and look at underlying first. Looking at revenue, we have solid revenue growth of 5.9% on a constant currency basis against a market backdrop that hasn't been stable. You can see the breakdown by divisions with all increasing. I will talk more about divisions in future slides. Our underlying operating profit increased by 6.5% on a constant currency basis. And we held margin rate at 7.1% despite a strong prior year. This is a very pleasing result for us and one that demonstrates the resilience of our portfolio with North America resi market challenged, the other divisions have more than made up the shortfall. I'll bridge that operating profit performance in the next slide. Net finance costs are broadly flat and pretty much represent the outlay on the USPP fixed debt. Taxation at GBP 45.2 million is at an effective rate of 23%, similar to last year. And the underlying earnings per share has increased by 5.7% to 211.3p, driven by improved underlying profitability and the impact of the share buyback. The Board has proposed a final dividend of 52.1p, bringing the total dividend for the year to 70.4p, a 41.6% increase on 2024. I will talk more about the rationale for this when discussing capital allocation later. We'll now move on to the operating profit's bridge slide. So moving from left to right, starting with 2024, underlying operating profit of GBP 212.6 million. There's an FX impact of GBP 7.8 million due to the dollar weakness against sterling compared to 2024. So coming to North America first, which is down GBP 17.7 million versus last year. The reduction is driven by Suncoast, which is largely exposed to the residential market in the U.S. The price differential is predominantly driven by the great first half we had in 2024, not repeating in 2025. And the volume variance reflects the trough in resi in '25 versus '24 in the U.S. Moving on to the block on foundations, down on last year given the strong year we had in 2024. However, I must say that, that differential is a lot less than what we envisaged at the outset of the year. The foundations business has proved itself to be quite resilient with margins holding up as the competitive environment has tightened. The combined Moretrench RECON business has had an excellent year with favorable weather conditions ensuring more volume was worked through and with RECON undertaking a sizable LNG project in the Gulf Coast. The balancing order does include some legal settlements that came through better than our expectations in the year. Now turning to Europe and Middle East, where operating profit was up GBP 30.7 million compared to 2024. 2024 was a low base for the division and -- but they have performed remarkably well in 2025. In Middle East, contract issues not repeating has helped along with the growth in the underlying business. All other businesses other than the U.K. have performed very well as evidenced by the green GBP 14.6 million block in what is still a tough market. The GBP 3.3 million relates to Mauritius and Seychelles, which we are winding out of from the beginning of this year. The APAC division continues to perform solidly as evidenced by the consistent year-on-year performance from all the businesses. The Austral business continues to flourish and is building a sizable order book. So moving to the next slide, I'll cover off non-underlying items. The analysis box shows the items that make up the GBP 10.9 million split between cash and noncash items. We continue to invest in the ERP program, and we are currently in the testing phase and expect to launch the pilot in the second half of 2026. The restructuring cost relates to the group's finance transformation program, which is now focused on North America following the setups in APAC and EME. I'll now move on to talk about cash. The group continues to deliver very healthy free cash flow levels with GBP 175.9 million achieved in 2025. We continue to invest in CapEx, with gross CapEx levels continuing to hover around our depreciation level. Movement in working capital is predominantly driven by a higher level of advanced payments on a couple of contracts in 2024 compared to 2025. Other call outs, cash tax payments have reduced given the change in tax treatment for R&D tax credits in the U.S., allowing a full in-year deduction. And you can see the impact of the share buyback in 2025 with the GBP 38.9 million of an outlay by the 31st of December. In the bottom right, we highlight the reconciliation to net cash on an IAS 17 covenant basis to GBP 59.7 million. The cash generation from operations has driven the reduction to net cash on an IAS 17 basis despite the outlay on the share buybacks of GBP 38.9 million to the end of December. The improvement in December is predominantly driven by collections as the industry tends to pay up at year-end. Given this trend, we are well within our covenant limits. Our funding facilities are in a comfortable position from a quantum and tenor perspective. We have headroom of circa GBP 730 million. This is a very resilient position and along with our cash generation capacity gives us the confidence as we look to the future at organic and inorganic opportunities. I'll talk more on capital allocation later. We are pleased with the level and quality of the order book. Whilst there is a reporting period drop, this has pretty much come back in the month of January as it always tends to do. I'll pick up on the divisional commentary in the following slides. Coming to North America first. I've talked about the moving parts earlier. The team have done very well to grow the revenue given the residential decline outperformed the rest of the market. Looking at margin, the division has achieved a margin greater than 9% despite Suncoast's performance and the broader market backdrop. Looking at margin through the cycle, Keller North America is beginning to look comfortable at 9% -- at circa 9%. Even though the order book has reduced slightly, its quality and the visible pipeline gives us confidence for 2026. The team expects to continue to outperform the market and deliver resilient margins by focusing on key segments that support growth. A fabulous year for Europe, Middle East with their margin gravitating to where we want them to be. The market does remain tough. The team have done a great job to grow the business, perform with excellence and deliver an impressive result. When the market turns, we are hopeful the division could deliver through-cycle margins between 5% and 6%. The order book has increased with some larger projects in the Nordics region. When the market turns, the team is very well placed to benefit with increased revenue and profit growth. Another solid year for APAC. All businesses performing very well. The margin level achieved in 2025 is impressive given 2024 was helped by a profit on a property sale. Whilst the order book has reduced with some larger projects delivered in Austral and India, the pipeline looks good for all businesses with a bit of softness in Australia foundations. However, we do expect another solid year in 2026. A couple of trend slides before I talk about capital allocation. Firstly, operating margin. This shows the improving profile over the last 7 years. 2025 wasn't the best market backdrop, but we still managed to achieve over 7%. This gives us confidence that the commercial mindset and contract discipline has really been embedded across the business. And this level of margin is sustainable through the cycle going forward as reflected in consensus. Again, another trend slide, which reflects strong performance across our metrics. I showed this for the first time last year, demonstrating the step change over the last few years. This level has been sustained in 2025. These results and the movement to net cash has triggered a review of our capital allocation policy, a nice segue to the next slide. Given the sustained financial and operational performance, the Board has reviewed our capital allocation and whilst not changing the framework, has made some changes in emphasis. Our leverage target is 0.5 to 1.5. We see no reason to change this. We have confidence in our cash generation and believe the [ range ] provides the right balance between capital efficiency, the capital requirements of the business and gives us significant financial flexibility and headroom. Our primary capital allocation to the business, working capital and CapEx remain paramount. No change there. And in 2025, we spent gross CapEx of GBP 90.4 million. We are very proud of our dividend record. The group has a 31-year track record of maintaining or growing its dividend since listing in the stock market. Reflecting on the evolving maturity of the business and the improved predictability of our cash flow, the Board has adopted an enhanced dividend policy, which will deliver a sustainable and progressively growing dividend, with a target cover range of 2.5x to 3.5. For 2025, we are at 3x covered compared to 4x in 2024, resulting in a dividend of 70.4p and a total cash cost of GBP 49 million. We believe there is an opportunity to accelerate our strategic plans and enhance our market leadership positions through selective acquisitions. The value case for all potential acquisitions will be judged carefully based on clear financial and strategic criteria. We do have a pipeline, but no imminent purchase, which brings us to surplus capital and the opportunity to execute further share buybacks. We launched 2 tranches of GBP 25 million in 2025 with the second tranche nearing completion. Today, we announced our intention to launch a further GBP 100 million buyback that we plan to undertake in 2026. The group's capital structure and the return of surplus capital will continue to be assessed on an ongoing basis, in line with the wider capital allocation framework. That's it for me. Thank you for your attention. I'll now pass you back to James, who will take you through his reflections on the business.
James Peter Wroath: Thanks, David. So I think the most important thing to say right at the start is I'm absolutely delighted to be here at Keller. And my #1 priority since joining the business has been to do nothing to disrupt the positive momentum that the business has delivered over the past few years, and as you've just seen from David's slides. We deliver very locally, so I focused on seeing as much of the business as I can firsthand. I've learned what we do. I've understood the culture and formed a view on Keller's key strengths and the significant opportunity that we have ahead of us. This experience has been essential in preparing the ground for our strategy discussions. So in APAC, I've been to Australia to see both of our businesses, Keller Australia and Austral as well as a trip to India. In Europe and Middle East, I visited both Dubai and Saudi Arabia in the Middle East. And I've spent time with operations teams in France. And as you can see from the fantastic photo, minus 15 in Sweden, the U.K. and Germany, and that has included our KGS manufacturing facility in Germany. As our biggest market, I've also made a number of trips to North America, visiting sites in Canada, Texas, New York and Florida as well as our specific businesses of Moretrench, RECON and Suncoast. And if you pardon the pun, my key takeaway from all this travel is that this is a business with really strong foundations. It's built on highly engaged people with deep technical expertise and a genuine passion for adding value to projects, both big and small and across a diverse range of sectors. Keller is really well positioned to take advantage of positive market developments and to capitalize on pretty much any construction megatrends. And finally, the strength of the balance sheet and our market-leading position in key geographies make Keller a compelling proposition for both investors, colleagues and customers. So let's have a little look at how I see Keller's strategic process. I think this is a business where it's really important to understand history and the significant progress Keller has made over recent years because it very much informs where we are today and what our future strategic direction should look like. At this point, I must also pay tribute to the work that Mike and David have done in the past few years to deliver a truly impressive improvement in performance. They've reset the business through a relentless focus on fundamentals. Various acquisitions over many years have been finally fully integrated and a culture is embedded that prioritizes margin delivery and execution within a clear geographic strategy. They've invested in systems and processes that will firmly embed these disciplines systemically across the group. This means that Keller today is a disciplined organization, delivering consistent returns and a strong balance sheet. Our portfolio is diversified and sector agnostic with a commercially minded but risk-conscious culture of bidding and contracting. The 2025 results are absolutely testimony to this. The group has demonstrated strong top and bottom line results delivery for a third year in succession as evidenced by David earlier. So going forward, underpinned by a clearly defined strategy, I see a lot of opportunity ahead. Without losing any focus on the fundamentals of margin, profit and cash delivery, I believe that Keller can evolve and continue to grow. The Board and team completed a strategic review exercise before I joined, which identified the criticality of local market share as the key driver of earnings in our business units. Whilst we're the leader in a number of our markets across the globe, the exciting prospect for me as CEO is a significant white space for Keller to continue to grow and turn established regional market presence into new market leadership positions. To achieve this, we must continue to invest to drive organic growth, particularly focusing on opportunities for deployment of our industry-leading portfolio of products and techniques. We can also further leverage the sector agnosticism of our offer by targeting customer segments where we are currently underrepresented, such as nearshore mining -- sorry, nearshore marine in India, mining in Canada or federal government work in the U.S. Bolt-on M&A in certain markets can also be a key tool to further accelerate organic growth. This growth will be supported by process-driven operational excellence, harnessing the power of the global group and its strong culture of engineering innovation with the latest developments in technology and AI. And finally, as David has outlined, our capital allocation priorities underpin our growth strategy and our ability to generate returns for shareholders. I want to pause for a moment to show you Keller's investment case. This is a slide that has been presented before. The significant strategic progress made over recent years, combined with our positioning for continued success, creates a compelling investment case for Keller. Although, as I say, this slide has been presented before, I wanted to repeat it because the essential elements remain true today. Keller does have a proven strategy that delivers resilient revenues, sustainable margins and strong cash generation. This is absolutely built on disciplined governance and sector agnosticism that means we can capitalize on favorable market trends around the world. As I look to develop this further over the coming months, we're going to focus on Keller's growth potential, underpinned by the engineering excellence inherent in our business model. As I said previously, the central conclusion of the 2025 strategy work was the criticality of local market share. This slide illustrates our position across our areas of operation, but it also clearly shows the great work that's been achieved optimizing our geographic portfolio and making sure we are in the right places in the world. Keller has leading or established positions in our primary markets, but with room to grow either organically or inorganically or through a combination of both. Our success today has been built on this strategy and the more recent disciplined integration of the group. We win with consistent high-quality delivery for customers in local markets, establishing Keller as a trusted partner and creating a virtuous circle that drives further market share over time. So a little bit about how I see our strategy. Firstly, we anticipate holding a capital markets event in the second half of this year, where we will lay out our strategic plans in more detail. The focus of this is going to be on 3 strategic levers. Firstly, as you've just seen, Keller's portfolio of businesses and our branch network is a real strength. Geographically, we are well positioned to capitalize on favorable market trends, and we're in countries where we are confident that we can contract robustly and more importantly, collect the cash. Our portfolio of products is also impressive. On our website, you can see 50 different techniques. Not every one of those 50 is appropriate everywhere, but the broad scope of capability is one of the key features that makes Keller a market leader. Furthermore, given we are the largest geotechnical provider, we can leverage our rig capacity to get work done quicker. Secondly, performance is critical. The strategy work indicated that price and reputation are customers' 2 key buying priorities. We need to continue to be safe, efficient and innovative to deliver solutions that continue to generate significant value for our customers. Finally, then we're going to focus on pipeline. This is where it all comes together. We have an optimal geographic footprint with the ability to deploy our portfolio of products globally. Growth in our pipeline will arise from more systematic and widespread deployment of techniques, allowing us to access new customer segments to drive market share. I want to illustrate this through a couple of case studies. And one of the reasons I want to do that is because one of the main things I love about Keller is just how many inspiring projects we work on. And you can see as you go through this presentation, the number of photos from real-life projects, and I could talk for quite a long time about most of them. And I know listening from previous feedback that this is something that shareholders want to hear more about and this room wants to hear more about. So the first one is a case study from Lulea in Sweden. It is where the lovely picture of me came from. This is an ongoing project. It's risen out of an investment that the business made before I joined in Northern Sweden. We opened a small office because we believe that there will be opportunities arising from an iron ore-rich area. This proved to be a really shrewd move as shortly after SSAB announced the construction of a new fossil-free steel mill in Sweden. On receipt of some early requests for support, largely with the design for seeing concrete piles, our design team went to work and saw an opportunity to value engineer a much more cost-effective and lower carbon solution. The team brought together a range of Keller experts from around the world and deployed a wider range of techniques, including vibro compaction and vibro stone columns, dynamic compaction and wet soil mixing. In combination with the originally envisaged concrete piles for the heaviest load areas, this produced an optimal cost-effective design for the customer and was therefore chosen as the winning concept. Furthermore, as we execute the project, Keller brings engineers from around the world into a relatively remote geography to ensure that we deliver on plan. Geotechnical engineering services are often bought from local contractors for local market delivery. However, this example illustrates perfectly how Keller can bring the strength of the group's collective expertise to win business and to deliver superior results for customers. The second case study I'd like to talk to you about briefly is data centers, which is another area that we get a significant amount of questions on, has been a significant area of focus during investor meetings since I joined the business. So following on from warehouses post-COVID and then EV gigafactories, the data centers are a great illustration of how our sector-agnostic business model can pivot to the latest growth opportunities within our industry. Growth in AI and demand for high-powered computing is clearly a global megatrend, and data centers present an attractive opportunity for Keller. We've got a strong pipeline of this work across the group, and we're well positioned to meet demand. They're also, though, a good example of the importance to Keller of smaller jobs as well as our higher profile big contracts. In terms of contract scale, in 2025, around 90% of Keller's global contracts were less than GBP 1 million in value. And these projects amounted to around 30% of our revenue. A steady flow of smaller jobs is hugely important in our revenue mix and provide both a reliable revenue stream and the opportunity to maximize our resource utilization. The Serverfarm development in Texas is one of the many data centers we've worked on in North America that fit this profile and had a revenue of less than GBP 0.5 million. It was a design and build project, where we redeveloped an existing site. And through our design solution and real-time adjustments, we completed the project in around 6 weeks, deploying 10 rigs and installing 1,475 piles. In 2025, we completed 120 data center projects in North America that contributed more than GBP 100 million of revenue to the group. And finally, moving to a summary and outlook. Looking ahead, while we remain mindful of macroeconomic uncertainty, the group enters the new financial year with a high-quality order book, healthy tendering activity, a strong balance sheet and clear strategic direction. The actions taken by management that led to the operational and financial improvements achieved in recent years have continued to be embedded across the group, giving me confidence that our operational performance is sustainable over the medium term. The majority of our markets are robust and bidding activity is at a healthy level. We're well placed to address the demand for our services being fueled by long-term structural growth drivers, including infrastructure investment, population growth, energy transition, climate resilience and the adoption of new technology. We have a clear growth strategy to enhance our position in the chosen markets -- in our chosen markets by continuing to offer solutions backed by our product and engineering capability and by focusing on higher-growth customer segments. As we grow, we will not lose the exceptional culture of margin discipline that has become a critical part of Keller's DNA. And as I said previously, we plan to share with you in more detail our growth strategy plans at a Capital Markets Day in the second half. I am confident that the group is well placed to build further on its momentum and to deliver further progress in 2026 and in the years ahead. Thank you very much. So as I said, we'll now move to Q&A, which I'll let David compare.
Robert Chantry: Rob Chantry at Berenberg. Three questions. So firstly, just a bit more color, I guess, on the North American and European M&A backdrop. Can you just give us some context around how many companies are out there? How many relevant? What are price expectations doing in both regions? Is there any kind of main reasons you've not executed any so far? And secondly, Germany, can you just give us some more color on what you're seeing on the ground there with regards to infrastructure fiscal spend? We're hearing quite a lot, but clearly, it's quite early days. Is there any color you've got on key end markets or timing with that? And then thirdly, Suncoast, clearly, the pricing dynamic was a huge factor in the '26 -- rather '25 results. Are there any remaining lags to consider going forward into '26, '27? Or would you consider full year '25 pricing normalized?
James Peter Wroath: Thanks, Rob. So I'll leave Suncoast to you David. Maybe I'll have a go at the first 2 and then you can fill in any gaps. So firstly, M&A, look, I mean, even before I joined the business was doing a lot of scanning around M&A. It's fair to say that this is a very local business, as I said in the presentation, and that means it's highly fragmented, and that means there are a lot of potential M&A targets to look at. I think the strategy work identified a number of above 1,000 just in the U.S. alone. You'll ask why haven't we done anything? I'll try not to say this too often, but I've only been here 6 months. So I do want to take time to understand where we might need organic help to accelerate -- inorganic help to accelerate organic growth. So I'm picking up the work that's been done, and we're looking at things in both Europe and North America. In terms of price, a little difficult to say unless you get a lot further in terms of discussions. Clearly, David and Mike have talked in the past about there being a differential between the price in the U.S. and Europe. I would say that anecdotally, that's probably narrowed a little bit. I think maybe some of the very narrow businesses in the U.S. and the decline in the market and some of the markets that we're looking at means that some of the prices have perhaps cooled a little. I don't think that puts us off looking at acquisitions because for us, it's more about the revenue synergies we can generate from bringing our techniques to any particular acquisition. So we almost see that as an opportunity. In terms of Germany -- sorry, David, is there anything you want to add on M&A?
David Burke: No, no, that's fine.
James Peter Wroath: In terms of Germany, I think we'd say at the moment, we haven't seen anything. I think we've heard the discussion that you've heard about potential future infrastructure spend. I mean the business has done some big jobs in Germany from infrastructure. You'll have heard about the Rauheberg Tunnel that was talked about in 2024. So we're well positioned for that. But at the moment, we're not seeing it. I don't think it's a great time to make big political comments, but I would assume that a lot of it is hanging on whatever happens in terms of the Ukraine conflict and where public spending across Europe has to be prioritized, but we're well positioned to capitalize.
David Burke: Yes, yes. So on Suncoast, that red block that you saw in the waterfall diagram really is a representation of a pricing boom that was there in '24, and it was the first half of '24 that we benefited from that. That's pretty much been gone since the second half of '25 -- sorry, '24 and wasn't really there at all in '25. So from a look-forward perspective, we do think that pricing has normalized and really what will move the dial for us in terms of Suncoast will be volume going forward. And in terms of our view of that in our forecasting for '26, we haven't put too much emphasis on that improving. I think it will really be dependent on rate cuts in the U.S. in respect of that moving. So I think it's in a trough at the moment, and it continues to be there. Hopefully, by the second half of the year, we should see it come out of there. But we're not building a whole lot of profitability into the forecast on that basis.
Aynsley Lammin: Aynsley Lammin from Investec. Just 2 for me, please. On the U.S., maybe just a bit more color kind of you said the order book is still good, good tendering, which end markets are kind of better, which are slower? And just kind of what are the people saying on the ground in terms of underlying trends of construction markets for this year? And then secondly, I guess, just on the M&A, any indication in terms of size? What's the kind of level of market share that you'd like to get? I think you say 12% for the group, but when the margins really start to get supported in terms of a market share level?
James Peter Wroath: Yes. So taking the first one, we obviously take a view on or look at the data around which major sectors we're seeing bidding activity. And for our business at the moment, there's quite an uptick in the U.S. around infrastructure and public spend. We've got a couple of quite big projects ongoing at the moment around the Hudson River, which I think there was a photo on the Hudson River in there and also on I-40, where there's a repair after one of the hurricanes. So we're seeing a bit of a skewing towards infrastructure and public and obviously, a bit of a downturn in terms of residential at the moment. But again, David and I must have used the phrase 10 times in the presentation around sector agnosticism. That is the beauty of the Keller business model that we can pivot between the different opportunities that exist. From an M&A perspective, size, I don't want to put a specific number on it, but David has always talked about bolt-on, and I'm absolutely within that. I think you talked about less, that meaning sub GBP 100 million. I think it's probably a bit less than that, to be honest. Our focus would be -- or my focus would be on opportunities that can drive either geographic revenue synergies, so filling in a bit of white space. It's not about going to different countries, it's just some country -- big countries, in particular, there will be certain areas where we could have more local presence. It might be about buying somebody where a technique, they were particularly strong in a technique that we'll obviously do because we have the 50 techniques around the world, but we're stronger in some places than others or it might be a customer subsector where we're not quite as strong. And I think the greatest value for accelerating organic growth through inorganic comes from acquiring something that helps us with 1 of those 3 things or preferably more than one of them, geography, the technique and the subsector. In terms of market share, market shares are really interesting because it's such a local market, and I think David said this a number of times. When we think about markets, we don't think about the U.S. We don't even think about Florida. We think about Miami. We think about Tampa. So the 12% is interesting but sort of meaningless because it's more about what is our market share in Tampa, what is our market share in Florida. And the work that was done and the work that informs the globe that I showed earlier is done at a very, very local level. So that's where we'll absolutely be focusing.
Joe Brent: Joe Brent from Panmure Liberum. Three questions from me as well, if I may. Firstly, can you give us some indication of the legal settlements that you talked about in the profit bridge? Secondly, you talked about some of the faster growth areas you're focusing on. I would be interested to have a little bit more color on that. And probably related, you said that data centers has been a good market. Do you see that as continuing to grow from this increased level going forward?
James Peter Wroath: Okay, I'll do legal settlement.
David Burke: Yes. So you would have seen the block in the waterfall and the value that's on that. So these are legal settlements that happen quite often in the business, but I thought it was only right in the interest of transparency that we bring out the fact that in '25, we had some good ones that did just come through and they're embedded in that number. Sorry?
Joe Brent: [ Is that the full GBP 7 million, I think ].
David Burke: GBP 7 million is a net number in terms of other things. I think it's probably fair to say it's single-digit millions in terms of the overall impact.
James Peter Wroath: And then on the other 2 faster growth areas, I would -- look first to say, it comes back a little bit to Aynsley's question, we're seeing infrastructure and public across the globe about 7 percentage points higher in our order -- forward order book than it was in 2025 actual. So that's certainly coming through for us. If you'll allow me, we'll talk a bit more about the sort of future faster growth areas when it comes to the Capital Markets Day because that's where I want to bring more focus to that. But your third question, absolutely data centers. We gave some stats around North America in the presentation, but we're doing data centers around the world. They are very interesting, and there's a lot of them. I would just underscore that they are smaller jobs. So they're not likely in GBP 100 million in North America, they're not likely to make a massive movement in terms of our revenue numbers, but they are very good in terms of productivity and getting in and out. So they are pretty critical. And they are also quite often, they are -- they play to Keller's expertise because they are technically reasonably difficult, right, because the data center has to be, as you'd expect, incredibly -- on incredibly solid foundation. So therefore, Keller's reputation, Keller's expertise plays into that. But as I say, on both those questions, we'll dive deeper, both from a geographical and from a segment perspective in the Capital Markets Day.
Benjamin Pfannes-Varrow: Ben Varrow from RBC. I'll do 3 as well, please. First one, just on the U.S. Obviously, you've outperformed last year. Can you shed some light on your expectations for market growth this year and whether you think you can maintain the same level of outperformance? And then coming, sorry, back to growth as well, on a sort of 3- to 5-year view, just to get your initial sense of the relevance of M&A versus organic in that growth mix. And then within that, on organic growth, do you see many opportunities to accelerate organic growth without doing bolt-ons? Or are bolt-ons really the unlock to drive organic growth?
James Peter Wroath: Yes. Would you mind saying the U.S. performance?
David Burke: Yes. I think in terms of 2026, the order book, as James has mentioned, is strong, and we're quite pleased with the quality of that. Bidding levels are still -- the teams are as busy as ever in terms of bidding. And as we sit here today, we have no reason to believe that we shouldn't repeat what we've done in '25 and '26 in North America. There has been some weather issues in the early part of the year, but we don't see that as a challenge. We should be able to get that back as we go through the year.
James Peter Wroath: And then if I could just take your other 2 questions together. I mean, firstly, they're really helpful questions in preparing for our Capital Markets Day. So thank you. And we'll bring out some more numbers as part of that process. Look, there are certain areas of the world that it's clear to me we don't need inorganic, right? There are some areas where we can make investments. Lulea is a great example, right? That's completely organic, setting up an office somewhere where Mike and David and our EME team suspected there might be an opportunity, turned out the opportunity was completely different from -- well, actually not completely different because obviously, a steel plant is connected to the iron ore area, but we actually thought there will be more work around the railways that are moving the iron ore around. So we organically invested in an area and then a massive opportunity comes up and now our business in Keller Sweden has grown exponentially. So there are definitely those opportunities around the world. And in truth, Keller could choose to only grow organically, right? The reality is that's about investing in people and putting people into different geographies and different markets. In my view, though, some of that will be too slow, right? If you're trying to crack into a new subsector, let's give an example, federal in the U.S., right, where we do quite a lot of work for public authorities in the U.S., but not so much for the federal government. You'd have to hire people. We would have to hire people who are very experienced in federal bidding. But then beyond that, you have to have the reputation that goes with it and just hiring people doesn't bring Keller that reputation. So a 5-year plus organic time line could be much quicker to deliver within an inorganic time frame. And then to your point about, well, where does that -- where is the proportion of growth between organic and inorganic? I think, as I say, we'll take that question and put it into our CMD preparation. But I think the reality is that what inorganic can provide is the spark for the organic growth. So in that example, if I were to buy a business that was selling 3, 4, 5 techniques into the federal government in the U.S. and I bring our other 20 that we're doing in the U.S. for different customers to that customer relationship, I drive a lot of revenue synergy in my view. So whether you then say that's organic or inorganic is kind of a moot point. The inorganic, organic debate for me is all about speed. And there are certain areas where I think we will want to grow with a pace and therefore, the smaller bolt-on inorganic acquisition will really help us to accelerate that growth journey. But yes, we want to take the right amount of time to be clear on where we really need to make that investment versus a Lulea-type opportunity where we can literally open an office with 3 or 4 people and organically grow.
Jonathan William Coubrough: Johnny Coubrough from Deutsche Numis. Firstly, in terms of capacity utilization, James, you mentioned that the smaller jobs are really important for, I think you said resource utilization. I'd be interested to hear where you think capacity utilization is across the North American foundations business. And related to that, I know David you're guiding to CapEx in line with depreciation, but presumably, you're still depreciating a lot of kit that was bought 7 years plus ago when -- since then, we've had a lot of increase in costs of machinery. So do you think you can maintain that through the cycle? And then the last one would be going back to the portfolio and you had a slide in the presentation showing where you're market leader versus -- perhaps not market leader. I mean it looks like in Europe, I appreciate that's white space to grow into. But do you feel there are some markets where you'd rather not be in them?
James Peter Wroath: Thanks. So if you can take the middle one, David.
David Burke: Yes, yes.
James Peter Wroath: So capacity, great question. And I'll be honest with you, I'm still trying to get my head around capacity utilization to a certain degree within Keller. It's quite easy to see with equipment. It's harder to see with people, not so much the people who are doing the physical work, but the management, the amount we can cope with from a bidding perspective is an interesting question. There are a couple of reasons why the smaller jobs are important. One, as I said in the presentation, because it's easier to move rigs from one job, particularly in very tight geographies where we have a lot of strong market share. It's easier to just move those rigs around rather than have them tied up for long periods of time. The other thing that's important that we keep doing the smaller jobs is that I don't -- particularly in North America, I don't want Keller to become a very lumpy business just doing major projects, right? Because that may -- it becomes -- obviously, everything is binary, you win or you don't win. But if you're binary around just major projects, you can end up with space and time where you're waiting for the next job, and that's not good. So the combination of the 2 allows us to have much greater utilization. I think one of the questions that -- one of the questions I want to be able to answer is how much is this business, particularly in North America, capable of from a revenue perspective. Now there's mix in there because you can distort that with 1 or 2 very big jobs. But understanding how much we're capable of and how much we need to grow the organization is one of the key questions before that CMD and understanding the growth plans. If I just -- I'll take your third question and then hand over to David for depreciation. I'm really pretty happy with the geographic footprint that I inherit. I think as I say, I think Mike and David have done the hard yards in terms of getting us into the right places and out of the wrong ones. So I really see it all as opportunity. You're right to highlight Europe. All the markets are different in Keller, which makes it even more fascinating industry. But in Europe, obviously, we've got some very -- some of the very biggest almost global competitors there. What I like about what's been done in the last few years, though, is we sort of have -- some people in my business don't me describing it this way, but sort of a hub-and-spoke management, right? So we will support other countries from bigger countries, a bit like we did with Sweden, actually. We didn't have a huge local presence in Sweden. We were supporting it from one of the other European regions. But then as it grew, we're able to then invest more resources and now Sweden is much more -- well, Sweden is stand-alone within that unit. So I think we have the right model with Europe. And I think as eventually Europe turns on its spend -- construction spend, I think we're really well positioned to capitalize on that, and I think we can grow share as that happens.
David Burke: Yes. On CapEx and depreciation, I mean, you look at constraints in terms of growth. And I think James is absolutely right that we don't consider equipment to be a constraint. It is more around people. I think a couple of features of what we've done over the last couple of years in the CapEx space. One is we've got a discipline in around making decisions in respect of acquiring equipment. And there is a rental market for rigs, and we get people to go through the process of asking themselves whether we should be renting or whether we should be buying. I think as a result of that, I think we can -- with the rental market, we can ramp up as needs to be. And you've seen that with the Serverfarm example where we were able to put 6 rigs on a job in the space of 5, 6 weeks. I think the other feature from the last couple of years is we have actually reduced the lifespan of our fleet of rigs over the last number of years. We're probably not 3 or 4 years off the lifespan in terms of churning the rigs across the business. And we are -- we do look a whole lot more at a global level in terms of rigs than what we used to. And -- but it's still very much managed locally. And the one thing I always look out for as we start to churn through the rigs is when we do sell all rigs, are we making profit on sale of the rigs or are we making losses? Because if we're making losses, that means our depreciation charges aren't right. But actually, we've been consistently making minor profits in terms of any sales. So I'm very comfortable with the depreciation rate we've set in the business as well.
Clyde Lewis: Clyde Lewis, Peel Hunt. I've got 3, if I may. You've not said much today on costs. Do we take from that, that everything is relatively under control and pretty benign? It would be useful to get an update on where you are there. And I suppose a corollary to that would be whether the sort of pricing and the bidding that you're out there for new work, whether that is covering any cost pressures that might be there. And the second, I suppose, third ones would be useful to get more of an update on Canada and India as to how the operations are going there currently.
James Peter Wroath: You'll take the costs. Yes, I mean we are a relatively short form business. So we do get the opportunity to reprice. And where we don't, if we are entering into longer-term contracts, then we'll try to contractually protect ourselves. We'll either have price escalation embedded in the contract or we'll hand that risk over to the client, depending on what the client wants. So we are able to pass it on. I do think there is some investment which we are doing, and you can see there's an increase in the central costs. We have -- we are -- as the business is growing, we are bringing in the right functional level of expertise. We've got a new General Counsel, which is a new cost for us, and we've invested a bit in HR in terms of some of our processes and people as well. But I think that's all good stuff for us to be doing, and we are covering it in terms of the margin.
David Burke: Yes, short order business, which means that, that link between pricing and cost is pretty well used muscle within the business, I would say, we're pretty reactive to it. Canada and India, so yes, really interesting markets. Canada was the first place I visited. So I know for those that are longer in the tooth with Keller, I think Canada has had a bit of a mixed reputation. I visited a business that's completely unified under one management and everybody has got very, very clear focus. And a lot of really good young-ish talent actually, a lot of really strong engineering talent. And the 2 pieces of work that I visited were both to do with the Toronto Metro extension. So I think we're pretty optimistic about our market positioning in Canada, but also what opportunities there might be. And without too far into our sort of commercial plans, there are a few areas, one of which I did reference in the script around Canada, where we might be able to make some organic investments and see more opportunities. India, yes, I -- it was my first ever trip to India. Actually, I've never run a part of a business that's had India in its portfolio. So it was a new experience for me, and the whole country is just full of entrepreneurial energy and investment. We are -- if anything, with India, it's more -- that we're cautious about those projects we do and don't work on within that market. And we're quite selective. We have a very impressively local management team. So I think not all but some global businesses perhaps bring quite a lot of people into markets like India. Ours is very much a local team, and they've grown up with the business and in my view, have the potential to continue growing with it. The interesting -- or the most interesting parts for us are the things outside of the cities and marine is a particularly interesting one. So when I went, I visited an hour outside Chennai, which isn't very far, but an hour's drive outside Chennai and a port where they're sort of doubling capacity, and we're doing a lot of work in terms of preparing what was beach into capacity for more cranes. And just on that one specific, India is announcing more and more investments almost on a daily basis into their ports. So we see a lot of opportunities in India. We want to make sure that we capitalize on those, but we also want to make sure that we're sensible about the projects that we take on, but very, very exciting. And it's one of the great things about Keller that yes, as I said in the presentation, there are some markets that are difficult, right, around the world. But the geographic diversity that we have means that if you're ever feeling depressed about a market, you can always spend half an hour thinking about another one where there's much more optimism and much more opportunity for growth. India is definitely my go-to if I'm ever feeling that.
Stephen Rawlinson: Stephen Rawlinson from Applied Value. One of the things that you've not really talked about today is in and around your observations about Keller's involvement in early contractor involvement in projects, design work, which would be higher-margin business. It may be an agenda item for your Capital Markets Day later, but your observations on that. I mean, quite clear, there's a huge amount of expertise within the company. But if you talk to other contractors, they're always talking about much greater involvement in the earlier stages of a project in its design phase. You are obviously involved in the early stage of any project. But is there a scope? Do you see it now as an observation to get more involved in consultancy, design work, et cetera, rather than simply digging to other people's recipes?
James Peter Wroath: So firstly, I'm sorry if I've underplayed it, right? The expertise within this business is enormous and profound, right? But very specialist and very much focused on our knitting, right? We know what we're good at. The level of education in the business through bachelors, masters and PhDs is really outstanding. And even when we're not paid for design, we're always pretty much -- as far as I can see, we're almost pretty much asked for our opinion on design. And our engineers are -- first and foremost, they're passionate about being engineers, right? I mean they love working for Keller. Keller is seen as a market leader of us both as a business with customers, but also as an employee brand. But fundamentally, they're engineers and you can feel if you talk about a project, they light up around the details of it. And there's no way that I or David could say to them, don't share your opinion unless we're getting paid for it, right? It just -- it isn't how the business works. But what I would say is yes, we always drive for higher margin, but the reality is where our margins are versus the wider construction sector shows you the value that we bring to projects. And yes, sometimes -- we're always better paid if it's design and build. I'd sort of characterize it as design and build, there's advice and build and then there's just build. But even the just build has a certain amount of advice in it. And yes, the margin will be higher at design and build level. But our margins are still pretty good at a build level as well. So consultancy, consultants already exist in our space, to be honest. They phone quite a lot when they're doing their consultancy work. I'm not -- I haven't finally finished the thought on it, but I'm not convinced that's an avenue for us. I think the full service -- I think the integrated offer that we provide works pretty well. We just need to make sure that when we're giving that advice that we're getting our reward for it. Take the project like Lulea, I mean, our team really didn't -- I don't think that was -- it wasn't design and build, right? That was a design done by the client, done by a consultant. Our team completely value engineered that design, brought the cost down significantly, lowered the carbon. And our reward for that was winning the project, right? Still a competitive market, very competitive market in some areas around execution. So sometimes we're trading that advice, we're trading that knowledge for making sure that we're the ones who win it and then we win the project at a decent executional margin. So -- but I take the feedback as well because if I've underplayed that, I don't want to, right? This is a business, where if you go and visit any of our sites and talk to any of our people on the ground who are delivering or the bid managers, it's just the level of expertise is just really incredible. So I think that brings us to the end. Just one final thing I'd like to say before we finish because I know a number of you have been in and around Keller for a number of years. This is sadly, but maybe not for her, Caroline Crampton's last day with Keller. She stayed with us until today's results day. I have only obviously worked with Caroline for 6 months, but I wanted to publicly say she is an absolute outstanding IR professional. Keller has been very lucky to have her. We wish her all the best wishes for her trip to Vietnam. She's not leaving us because she doesn't like me, by the way. Maybe she is, I haven't asked her. But we wish her all the very best for her travels. Huge thank you, and yes, good luck.
David Burke: Yes. Just to add to that in terms of the last 5 years, it's been a real pleasure. These days and the weeks that follow have been made a whole lot easier, and I'm sure the guys who have been interacting with you will also agree. So thank you very much for your time. We'll miss you desperately, but we've got Nicola to take us forward. But yes, it's real shame, but good luck, and thank you very much.
James Peter Wroath: Thank you, Caroline. And thanks, everyone, for coming.